Operator: Hello, ladies and gentlemen, thank you for standing by for 36Kr Holdings Inc.'s First Quarter 2020 Earnings Conference Call. [Operator Instructions] Today's conference call is being recorded.
 I'd now like to turn the conference over to your host, Yolanda Liu, IR Manager of the company. Please go ahead, Yolanda. 
Yolanda Liu;IR Manager: Thank you very much, operator. Good evening. Hello, everyone, and welcome to 36Kr Holdings' First Quarter 2020 Earnings Conference Call. The company's financial and operational results were released via Newswire services earlier today and have been made available online. You can also view the earnings press release by visiting the IR section of our website at ir.36kr.com.
 Participants on today's call will include our Co-Chairman and CEO, Mr. Dagang Feng; and our CFO, Ms. Jihong Liang. Mr. Dagang Feng will start the call by providing an overview of the company and the performance highlights of the quarter in Chinese, followed by English interpreter. Ms. Jihong Liang will then provide details on the company's financial results before opening the call for your questions.
 Before we continue, please note that today's discussion will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's results may be materially different from the views expressed today. Further information regarding these and other risks and uncertainties is included in the company's prospectus and other public filings as filed with the U.S. SEC. The company does not assume any obligation to update any forward-looking statements, except as required under the applicable law.
 Please note that 36Kr's earnings press release and this conference call include discussions of unaudited GAAP financial measures as well as unaudited non-GAAP financial measures. 36Kr's press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited GAAP measures. And please note that all amount numbers are in RMB.
 I will now turn the call over to our Co-Chairman and CEO, Mr. Dagang Feng. Please go ahead. 
Dagang Feng: [Foreign Language] 
Yolanda Liu;IR Manager: [Interpreted] Thank you, and hello, everyone. Thank you for joining us for our first quarter 2020 earnings conference call.
 We just completed a challenging first quarter of 2020, where the COVID-19 pandemic and its relatively containment measures upended the normal business operations of our clients, ultimately creating delays in their demand for our services. Despite the unfavorable macroeconomic conditions, we were able to promptly take actions in response to the evolving market dynamics and adjust our operational strategy to address clients' changing demands, extending valuable support to the New Economy community.
 Before providing an overview of our first quarter performance, I want to thank all of our employees for both their dedication and creativity, which allowed us to not only overcome numerous challenges but also make positive overall headway during this unprecedented time.
 As a permanent and influential New Economy-focused content provider, we once again demonstrated our strength in content production with further content enhancements, such as the rollout of new themed columns and engaging hot topics. In the first quarter, we published over 26,579 pieces of content in various modalities, including an increasing volume of our content in popular media forms such as short video and live streaming. Our timely and high-quality content distributed through diverse channels has allowed us to generate healthy and growing traffic. Our average monthly page views reached 473.9 million in the first quarter of 2020, up 110.2% year-over-year, reflecting the strong reception of our engaging content across our expanding user base.
 In the first quarter of 2020, amid adverse market conditions, our enterprise value-added services delivered modest revenue growth of 3.4% year-over-year. In addition, since the COVID-19 outbreak in January, we have taken swift response, which included the introduction of a series of special programs to support companies in need. Through mobilizing our connections and resources in the New Economy community, these programs aim to provide companies, especially SMEs, access to dependable enterprise services, potential financing resources, effective user and customer acquisition approaches, as well as technological support for the online transition of their operations.
 We also actively engaged with companies that actually experienced booming demand due to the pandemic containment measures, helping them capitalize on the evolving market opportunities. Our featured special online events and live streaming panels in the first quarter further aided enterprises broaden their outreach to the market and garner effective sales leads, as well as enhancing connections with business partners in the up and down streams in their respective industries. With our firm efforts in serving a broad array of corporates, enterprise value-added services has grown into our most crucial sector and the biggest revenue contributor of our business.
 Our advertising services suffered more impacts from the COVID-19 pandemic as some of our multinational clients delayed their marketing plans due to the extended Chinese New Year holiday and suspended operations in the first quarter. To soften these temporary headwinds, we have been pursuing and tapping into more industries while providing brands with more targeted advertising and marketing solutions. Our customized and innovative advertising services are not only gaining increasing popularity amongst New Economy companies, but also well received by companies that operate in traditional industries, such as automobile and the real estate sector. For example, our tailored and the creative marketing program, such as new automobile model launches through online live streaming events, bringing new ideas and opportunities for automobile OEMs. In addition, by leveraging our strong content capabilities and robust traffic, our new media channels, like Testing with Superman are effectively introducing a diverse selection of sought after products from our clients to massive users and audience of 36Kr.
 Moving on to our subscription services. Although revenue from our subscription services had a substantial year-over-year decrease as our higher-priced off-line courses were constrained due to the virus containment measures, we have promptly transitioned the majority of our courses to online channels. We also produced more engaging live and stream discussions and online courses, such as our online Mini business administration program that helped individuals better adapt to the changing economic environments. We expect to resume our off-line courses such as -- as the COVID-19 situation gradually improves in China, while further expanding our paid user base online with premium courses and a superior learning experience.
 Regarding our overseas operations. As the pandemic situation evolves globally, we have taken precautionary and necessary measures to protect the health and safety of our employees outside of China. At the same time, most of our overseas operations are still ongoing with collaborations and new programs underway. As our overseas presence is generally in Southeast Asia and Japan, where the pandemic situations are relatively stable, to more effectively administer our programs amid the current situation, we have also successfully transitioned some of our projects to online. We will continue to enhance our influence in the overseas market with our high-quality content and services solutions.
 Overall, as Charlie Munger, American investor and the Vice Chairman of Berkshire Hathaway says, "Microeconomics is what we do; macroeconomics is what we put up with." In the face of a challenging first quarter, we have demonstrated our effective ability to execute, take prompt action and make operational adjustments in response to changing market dynamics. Looking forward, we are well positioned to grasp more market opportunities as the economy recovers. Through collaboration with enterprises in broader industries and the continued diversification of our client base across companies, governments, institutional investors and individuals in New Economy, we will keep expanding our connections and brand influence within the community. Meanwhile, we will deploy popular online modalities such as live streaming and short videos to further enhance our interaction with our users and clients, bringing them efficient solutions with a superior experience.
 Last but not least, we stay true to our commitment to our shareholders and are determined to protect shareholder value under all circumstances. Therefore, our executives and key insiders have voluntarily chosen to extend our lockup period. The company's Board also approved a stock repurchase program. These initiatives demonstrated 36Kr's confidence in the long-term prospects of the company's development.
 With that, I will now turn the call over to our CFO, Ms. Jihong Liang, who will discuss our key financial results. 
Jihong Liang: Thank you, Mr. Feng, and hello, everyone. 
 In the traditionally weak season of the first quarter, the unprecedented COVID-19 outbreak, coupled with early Chinese New Year in 2020 applied intensive pressure on our top line performance. Specifically, the postponed marketing plans from our clients and the restriction of the off-line policies have severely impacted the revenues of our advertising services and the subscription services, both of which usually deliver relatively higher gross margins. As a result, we reported a substantial decrease in gross profit and lowered gross margins for the quarter compared with the prior year period.
 Additionally, in consideration of the broad impact of the pandemic on the macroeconomic and the majority of our corporate clients' businesses, we decided to take the conservative approach and to deploy a more prudent doubtful debt policy. As such, we recognized a significant one-off doubtful debt provision for accounts receivables and in the first quarter of 2020, which further adversely impacted our bottom line results.
 Please note, along with the economic recovery, this provision shall be reversible if we ultimately collect the outstanding accounts receivables overdue.
 As the pandemic is gradually contained in China, we will continue to proactively explore, identify and fulfill the evolving demand of our clients by providing diversified and premium services, while broadening our monetization channels and capabilities in addition to more prudent cost control.
 We believe in the New Economy's resilience and strength and our ability to grow and thrive along with the vibrant community that is full of the opportunities.
 Now I'd like to walk you through more details on our first quarter of 2020 financial results. Total revenues were RMB 65.2 million in the first quarter of 2020 compared to CNY 33.8 million (sic) [ CNY 83.8 million ] in the same period of 2019. Online advertising services revenue decreased by 39.5% to CNY 21 million in the first quarter of 2020 from the CNY 34.8 million in the same period of 2019. The decrease was mainly attributable to the impact of the COVID-19 outbreak in China in the first quarter of 2020.
 Enterprise value-added services revenues increased by 3.4% to CNY 42.8 million in the first quarter of 2020 from CNY 41.4 million in the same period of 2019. The increase was primarily attributable to integrated marketing services.
 Subscription services revenues decreased by 82.3% to CNY 1.3 million in the first quarter of 2020 from CNY 7.6 million in the same period of 2019. The decrease was mainly attributable to the impacts of the COVID-19 outbreak in China in the first quarter of 2020.
 Cost of revenues was CNY 59.7 million in the first quarter of 2020 compared to CNY 59.4 million in the same period of 2019. The increase was mainly attributable to the increase in the execution fee of the enterprise value-added services, payroll-related expenses and share-based compensation expenses. The increase was partially offset by the decrease of video producing costs related to the online advertising services.
 Gross profit was CNY 50.4 million (sic) [ CNY 5.4 million ] in the first quarter of 2020 compared to CNY 24.4 million in the same period of 2019. Operating expenses was CNY 102.8 million in the first quarter of 2020 compared to CNY 41.8 million in the same period of the 2019. The increase was mainly due to the increase in general and administrative expenses and the sales and marketing expenses in the first quarter of 2020.
 Sales and marketing expenses increased by 45% to CNY 34.9 million in the first quarter of 2020 compared to CNY 24.1 million in the same period of the 2019. The increase was primarily attributable to an increase in share-based compensation expenses. General and administrative expenses were CNY 59.3 million in the first quarter of 2020 compared to CNY 8 million in the period of 2019. The increase was primarily attributable to decrease in allowance for doubtful accounts, share-based compensation expenses. Research and development expenses decreased by 11.9% to CNY 8.5 million in the first quarter of 2020 compared to CNY 9.7 million in the same period of 2019. The decrease was primarily attributable to a decrease in payroll-related expenses.
 Share-based compensation expenses recognized in cost of revenue, sales and marketing expenses, research and development expenses, and the general and administrative expenses in total were CNY 13 million in the first quarter of 2020 and CNY 1.2 million in the same period of 2019.
 Other income was CNY 1.4 million in the first quarter of 2020, staying same level compared to 2019 Q1.
 Income tax credit was CNY 90,000 in the first quarter of 2020 compared to CNY 2.3 million in the same period of 2019. The change was primarily attributable to decrease in profitability of certain subsidiaries in the first quarter of 2020, as well as the fact that we provided full allowance to the deferred tax assets.
 Net loss was CNY 95.5 million in the first quarter of 2020 compared to CNY 13.6 million in the same period of 2019. Non-GAAP adjusted net loss was CNY 82.9 million in the first quarter of 2020 compared to CNY 12.4 million in the same period of 2019.
 Net loss attributable to 36Kr Holdings Incorporation's ordinary shareholders was CNY 95.4 million in the first quarter of 2020 compared to CNY 130 million, which includes the accretion on redeemable non-controlling interests, accretion and redesignation effects of the convertible redeemable preferred shares in the same period of 2019.
 Basic and diluted net loss per share were both CNY 0.093 in the first quarter of 2020 compared to  CNY 0.421 in the same period of the 2019.
 As of March 31, 2020, the company had cash and cash equivalents, restricted cash, time deposit and short-term investments of CNY 166 million compared to CNY 264.2 million as of December 31, 2019.
 This concludes all our prepared remarks today. We will now open for questions. Operator, so please go ahead. 
Operator: [Operator Instructions] Your first question comes from the line of Roger Duan from Needham. 
Lianxiu Duan: So I have 2 questions. First is, have we seen any meaningful recovery of business spending after the reopening of the economy? Is there any difference between small and large-scale companies that we're seeing?
 And the second question is, can we expect to see new products and services to be introduced in 2020? And can you guys give us any update on the 36Kr Plus platform? [Foreign Language] 
Dagang Feng: [Foreign Language] 
Yolanda Liu;IR Manager: [Interpreted] Okay. I'll just do a translation. And for the first question, with the pandemic containment measures gradually being removed and the off-line business recovering, the data reflects the operation recover for the industry, such as tourism, catering and consuming as well, which means the business spending in these industries will recover soon later. And actually, for us, 36Kr, generally speaking, the smaller -- relatively smaller scaled corporates have better performance in Q1. But we also believe demand from large companies has been -- just has been delayed, which is similar to that from the local government, and we believe these demands will respond and contribute to our revenue in the near future. And the overall economic environment has more impact on smaller companies, which in turn will tighten their budgets. But as I just mentioned, they have a better performance in Q1 actually.
 And for the second question, actually, we found a new business opportunity under the pandemic and containment circumstances. That is a commercial -- to establish the commercial live streaming ecosystem. And we launched our China concept stock channel in this March. So far, we have engaged with several clients already, and we can see a significant share market in this year maybe.
 Also, through our Winter Warmth Program, under the epidemic situation, we not only aided the large and the small enterprises with effectively consumer acquisition, but also reached the connection with number of excellent enterprise service providers. These service providers will be docked on our enterprise service platform later. Okay. Thank you, Roger. 
Operator: Our next question comes from the line of Kenneth Fong from Crédit Suisse. 
K. Fong: [Foreign Language] I have 2 question. The first one is, how has the impact of COVID-19 affects the company business? Any structural change that we have seen? And then how much of the business may come back later? My second question is, on the online training business. Have you seen any significant increase of the sign up amidst the COVID-19 virus? [Foreign Language] 
Dagang Feng: [Foreign Language] 
Yolanda Liu;IR Manager: [Interpreted] Okay. [Foreign Language] Kenneth, I'll just do the translation quickly. For the first question, we expect demand from our advertising service will gradually recover, while the structural impact will be reflected in our enterprise value-added services sector. And many market views will think these off-line to -- and we believe in the long run, our enterprise value-added services will transition to online strategy. And maybe many market views will think these off-line to online trends will be temporarily just, but we believe this trend and this structuring changing will be profound and in long run. And so that's where we will continue to focus on in the future. And this change may not have big influence on us for this year actually. And for this year, we can see our off-line events having a relatively severe impact, but we will launch more off-line IPs in the coming quarters, which will offset the COVID-19 impacts on our off-line businesses.
 And for the second question, as we mentioned during the first quarter, our content production increased significantly, and also, our monthly average PV was up significantly. Our online training business actually suffered due to the 2 major reasons, we believe. First of all, our online training business, essentially -- it's hard to separate it from the off-line parts because it's [indiscernible] nature. Secondly, we focused on providing a broad range of free courses after the pandemic outbreak for public welfare, which demonstrated our commitment to social responsibility. Okay, that's -- these are for your 2 questions. Thank you, Kenneth. 
Operator: Our next question comes from the line of [ Yu Sang Wan ] from CICC. 
Unknown Analyst: I am wondering what is our current China structure in terms of the company size and industry? And could you please share your future plans on further diversifying the client base? [Foreign Language] 
Dagang Feng: [Foreign Language] 
Yolanda Liu;IR Manager: [Interpreted] Okay. Thank you, Yu Sang. We believe we will continue to further the diversification of our client base in the short and the long run. As we mentioned, at the end of 2019, our customers are distributed in 19 industries such as 3C, financial, retailing, real estate and e-commerce, et cetera. In general, the traditional [ 2 ] TMT customer ratio is 55 to 45. And we believe this is due to the definition of the New Economy itself is expanding. Well, some of our multiple clients delay their expanding in this Q1. We also received a new demand from new clients, especially clients from the industries that experience booming demands, such as online education, online content and enterprise services. Also, we plan to further cover sectors like online games, entertainment and high-end consumption in the second half of the year. It is worth mentioning as well, we also diversified our client base to include more local governments during the pandemic period by providing service online, which further enhanced our brand image and brought about these synergies. Okay. Thank you, Yu Sang. 
Operator: Our next question comes from the line of Brian Li from AMTD. 
Brian Li;AMTD Group;Analyst: We know it's a difficult situation right now. So I want to know, is there any change of the industry type of your key customers amid COVID-19? And have you expanded your customer base to new industry type? For example, the online education you mentioned in the last call that may have potential opportunity. [Foreign Language] 
Dagang Feng: [Foreign Language] 
Yolanda Liu;IR Manager: [interpreted] Okay. I'll just do a quick translation. I think this question is -- can be following last question from Yu Sang. And just to share some more color about our client base with you. The top-tier players in the online education industries are already our customers. I won't mention names here, but all of them are big names. And quite a few top-tier online content providers have spent on our platform already in this Q1, which -- who are -- haven't spent on us in the last Q1. Also, the same for the online enterprise service providers. I think this is the answer for your question. Thank you, Brian. 
Operator: Our next question comes from the line of Sisi Tang from Citic Securities. 
Sisi Tang;Citic Securities;Analyst: My question is, which segment of the revenues are key focus for next year? [Foreign Language] 
Dagang Feng: [Foreign Language] 
Yolanda Liu;IR Manager: [Interpreted] Okay. Thank you, and I will just do the quick translation. We think enterprise value-added services will still be the key focus. We are dedicated to spending service offerings meanwhile to extend the depth of the services in order to further improve the user to customer conversion rates. And we can see live streaming will be the basic tool of this industry, and we plan to establish a commercial live streaming ecosystem from this year which will further strengthen our consumer acquisition capability and brands' influence. And we have successfully served different types of our customers actually via the live streaming during the pandemic containment period. And to sum up, we can boldly tell the online service offerings will become the new value-added package after the economy reopening and the off-line recovers. Okay. Thank you. 
Operator: Our next question comes from the line from [ Wentao Liu ] from Huatai Securities. 
Unknown Analyst: I have a question for the business strategy. So New Economy industry and primary market have experienced some rationalization changes. So under such new normal, how will management adjust business development plans for these few years? [Foreign Language] 
Dagang Feng: [Foreign Language] 
Yolanda Liu;IR Manager: [Interpreted] Thank you, [ Wentao ] to answer your question, we indeed see the primary market didn't perform very well. And the public may say 36Kr was dedicated to serve the primary market. But what we want to say is in the past 3 years, we have been experiencing our own business model revolution, which is to generalize our business model. And in the -- until the end of last year, we can see the revenue from the relatively traditional enterprises have surpassed the revenue from the relatively smaller enterprises, which is mainly in TMT industries. And in the future, we will take active strategies to cover more in the secondary market and to better empower more and more industries. That is because we took a positive view on China's New Economy, and we can see the new normal as a better integration of the New Economy and what we so-called old economy. And the 36Kr is able to better serve than any other players in the market, and we are dedicated to better connect between the different participants in New Economy space by launching more tailored value-added services and our subscription services. Okay. This is for your questions. Thank you so much, Wentao. 
Operator: [Operator Instructions] As there are no further questions now, I'd like to turn the call back to the company for closing remarks. 
Yolanda Liu;IR Manager: Thank you once again for joining us today. If you have further questions, please feel free to contact 36Kr's Investor Relations through the contact information provided on our IR website and the TPG Group. Thank you. 
Operator: This concludes our conference call. You may now disconnect your lines. Thank you.
 [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]